Operator: Good day and thank you for standing by. Welcome to the Chicken Soup for the Soul Entertainment's First Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today Zaia Lawandow, Head of Investor Relations. Please go ahead sir.
Zaia Lawandow: Thank you, operator. Good afternoon and thank you for joining us. We'll begin with opening remarks from our Chairman and CEO, William J. Rouhana, followed by remarks from our CFO, Jason Meier. After their remarks, we'll open the call for questions. Matters discussed on this call use forward-looking statements including those regarding the performance of future fiscal years. Such statements are subject to a number of risks and uncertainties. Actual results could differ materially and adversely from those described in the forward-looking statements as a result of various factors. This includes the risk factors set forth in our most recent annual report on Form 10-K and in our most recent quarterly report on Form 10-Q. The company undertakes no obligation to update any forward-looking statements. Please refer to the earnings release in the Investor Relations section of the company's website for a discussion of certain non-GAAP forward-looking measures discussed on this call. With that, I'll turn the call over to William Rouhana, Chairman and CEO. Bill please go ahead.
William Rouhana: Thanks Zaia. Good afternoon everyone and thank you for joining us. I'm pleased to report that we had a good start to the year with revenue and adjusted EBITDA coming in within our guidance range. Consolidated revenue for the quarter was $110 million, adjusted EBITDA was $20 million, and as many of you know we only reported the fourth quarter six weeks ago so there hasn't been a lot of time since that report, but it's probably worth highlighting some of the progress we've made since then. The media landscape continues to shift in a way that pushes more people to free ad-supported streaming. I'm sure you've all seen the news coming out of media earnings with studios now simultaneously removing content and increasing prices on their subscription services, forcing consumers to pay more for less. It's paying for the privilege of watching ads in most of these cases. The value proposition of our totally free ad-supported digital services and our low-cost physical rentals is greater than ever. And our kiosk rentals remain the most affordable way to watch premium new release theatrical movies anywhere. As we progress through the year, we're encouraged by what we see as three ways we're growing. One is the rebound we're seeing in kiosk rentals. The second is our position as a premier ad sales platform. And the third is our plan to drive free cash flow through the expansion of our services businesses and I'll talk some more about that in a few minutes. I said on our last call that we expected the studios to rush to release many films theatrically and that's what we're seeing. There's been a -- we finally reached a steady state where films are constantly arriving at the kiosks. Looking at the summer, we've got some really interesting things coming. Starting tomorrow Ant-Man and the Wasp: Quantumania arrives in kiosks. Next week we'll have both Creed III and Shazam! Fury of the Gods followed later in May by Dungeons & Dragons: Honour Among Thieves, 80 for Brady, and 65. In the first two weeks of May, we had two theatrical releases. And during the rest of the month, we'll have six additional major theatrical titles at our kiosks with a combined box office of nearly $650 million. And that's just May. Arriving in kiosks in June we have Renfield, releasing early in the month. I'm excited about mid-June where we're going to have The Super Mario Bros. Movie and John Wick: Chapter 4, followed later in the month by Avatar and Evil Dead Rise. In all, we're anticipating 11 theatrical releases to arrive in the kiosks in June with a combined box office of nearly $1.6 billion. In July, we'll have eight theatricals arrive in kiosks including Scream VI Are You There God? It's Me, Margaret. And for those of you not keeping count, that's 27 theatrical releases arriving between May and July with a combined box office of nearly $2.5 million -- $2.5 billion, sorry. And August is shaping up to be just as impressive. It's exactly what we were looking for when we first took over Redbox, but we've only seen three major event movies from August to February. So keep in mind, the title counts I mentioned, don't include originals or direct-to-video titles, it's just the big ones. Including those, these new title counts come in from May through July at 48. Our second pillar of growth is our position as a premier ad sales platform. We just came out of a very successful NewFronts presentation a couple of weeks ago, which you'll be able to watch on our website in the coming days. And I suggest you do it. It's very impressive. There's some really good stuff there. You'll see Redbox streaming, you'll see Crackle streaming, Chicken Soup for the Soul streaming, and a lot of interesting innovative ad techniques we've launched. We're thrilled with the response to our Crackle Connex platform and we continue to build it out as a leading supplier for independent AVOD services and digital out-of-home networks. In fact, we now represent over 10,000 digital out-of-home screens through our deals with Coinstar's adPlanet Retail Media Group and Velocity MSC. We have the potential and the scale to be a large participant in the digital out-of-home business, which in turn can be a tailwind to revenue generation on our kiosks, adding in another revenue stream to our business. We've also presented a new -- a number of new and renewed projects through our branded entertainment group. Series like At Home with Genevieve Gorder, Just For Kicks a brand-new show about the hottest new sneaker drops; and new seasons of our original hit series from executive producer Ashton Kutcher Going From Broke; as well as Inside the Black Box; Pet Caves; and Wedding Talk. As you know we partner with leading national advertisers like the General Insurance PetSmart and Men's Wearhouse, among many others to mitigate the costs and risks associated with production. Beyond brand's entertainment Crackle Connex is also developing a number of data and technology partnerships that will allow for targeting execution and measurement of ad campaigns across platforms. Later this year, we'll be rolling out interactive ads through Amazon Publisher Direct to Amazon DSP advertisers. The ads will connect viewers directly to check out by using their voice or remote control to add items to cart and complete purchases. We've also announced partnerships with measurement companies Upwave and Geopath to measure positive ad lift in both series and digital video screens respectively. Our ability to provide exceptional service to our ad rep partners is complemented by the depth and quality of our film and television category -- catalog, which remains in high demand. And I'm pleased to announce what I'm hoping will be the first of many announcements with TaTaTu, a leading European-based social media entertainment company. We'll bring our film -- our extensive catalog of films and television series to their innovative platform as they roll out internationally, allowing us to expand our global footprint. This is the first platform of scale that rewards audiences for viewing and engaging with content, and I couldn't be more excited to explore ways to incorporate their tech into our networks. Finally, generating free cash flow remains a priority and will continue to be driven by the rental rebound we're seeing along with continued cost management initiatives. Additionally, the success we're seeing with our service businesses both our kiosk and ad rep has encouraged us to look at our entire business to identify other opportunities to apply the service model and generate incremental revenue that can be immediately converted to cash flow. As you know, our kiosk service and ad rep business continues to scale providing greater value for our B2B clients. Our ad rep clients have grown to 22 leading independent AVODs and digital out-of-home networks. We've grown the number of kiosk service customers to four including EcoATM, Kimi, Pokemon and Amazon with whom we have a long-standing partnership. In addition to these partners, we have a full pipeline of potential new customers with many pilot programs in or near launch. The low upfront investment combined with synergy opportunities makes these service businesses very attractive and we continue to look at the rest of our overall business to find other opportunities to create additional service revenue. In closing, I'm excited by the results we're seeing early in the year and look forward to updating you on our progress in the months to come. Now I'll turn the call over to Jason, who will walk you through the financials. 
Jason Meier : Thank you, Bill, and good afternoon everyone. As Bill mentioned, we began the year on a very strong note with both revenue and adjusted EBITDA coming in within our guidance range. First quarter revenue was $110 million, up 275% year-over-year, and adjusted EBITDA was $20 million, up nearly 450% year-over-year. Sequentially, although revenue was down 4% from a seasonally strong fourth quarter and adjusted EBITDA was up 37%. Performance in the quarter continues to reflect the strength of our multi-platform strategy, especially the monetization of Screen Media's library. In the first quarter, excluding the impact of acquisitions year-over-year, revenue increased $33 million more than double the first quarter of 2022, reflecting demand for our premium content library. As we previously mentioned on past calls, we continue to view Screen Media's library, as an extremely valuable asset that generates future cash flow for our business. Further to our multiplatform strategy, year-to-date our TVOD business continues to accelerate. Coming out of April, which had the largest TVOD revenue week in our history, we saw continued growth in May with year-over-year revenue up 14%. In fact, over the past week alone TVOD revenue was up 13% week-over-week. We're excited about the TVOD growth we are seeing as it is a leading indicator of films that will be hitting our kiosk network in the coming weeks. In the first quarter, our gross profit was 12%, a 14% sequential increase over the fourth quarter. Our gross margin in the first quarter was adversely impacted by a decrease in kiosk rentals year-over-year largely attributable to lack of films a consequence hitting the kiosks on a consistent basis. With a number of event films and the cadence of films expected over the remainder of 2023, we expect our gross margin to improve in the future. In our physical kiosk network, we ended the quarter around 30,600 kiosks nationwide. Daily rentals per kiosk or our version of the same-store sales remained strong in April. On average daily rentals per kiosk for March and April were nearly 20% higher than in January and February underscoring the positive impact of the return of theatrical titles and kiosks. Our operating loss for the first quarter was $38.5 million, compared to an operating loss of $10.8 million in the prior year. The variance is largely driven by the mix of revenues along with increased compensation expense and higher amortization expense both related to the merger with Redbox and the acquisition of 1091 Media in 2022. Our adjusted EBITDA for the quarter was $20.1 million, compared to $3.7 million in the prior year quarter, representing an increase of $16.4 million or nearly 450%, which includes the equitization of $3.45 million of CSS management and license fees. More to come on that in a moment. Excluding the impact of the CSSE equitization, adjusted EBITDA for the first quarter would have been $16.6 million. Turning to items impacting our financial position. As you will recall in late March, we announced a public offering of our Class A common stock that closed in early April raising $10.8 million. Also in late March, we entered into a modification agreement with our parent company Chicken Soup for the Soul LLC related to our management and license fee agreement. Under the modification, the company was able to equitize up to $16.2 million of future fees through the issuance of our Class A common stock subject to certain defined terms. Under the agreement $3.45 million was equitized in the first quarter of 2023 as I previously mentioned. More recently, credit rating agency Egan-Jones reiterated its BBB rating on both the company and our senior secured notes, underscoring the strength of our capital structure. As a reminder, we retained favorable debt terms under our HPS credit facility with no financial covenants for 2.25 years and the ability to pick interest through February 11, 2024, giving us plenty of runway, given our expectations around the expected timing of increasing operational cash flows. We continue to focus on further streamlining our organization to result in more cost effective coordinated and efficient approach to our operations. As Bill previously mentioned in his remarks, we're evaluating ways to replicate the service aspect of our ad sales and kiosk service organizations across other parts of our business to drive future revenue and scale, resulting in increased future cash flow. Additionally, we continue to look at assets that we own that are not strategic to our go-forward strategy which we may choose to sell or partner with others to raise additional cash flows in the future. In closing, we're already seeing the results of our cost-cutting initiatives and an increase in the number of event films available in the kiosk starting in late May and we expect the combination of these factors to significantly increase our operational cash flows. Now, I'll turn the call back over to Zaia for Q&A.
Zaia Lawandow: Thank you, Jason. Operator, can we please open the call for questions?
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Jason Kreyer with Craig-Hallum. Your line is now open.
Jason Kreyer: Thank you, guys. Bill, so you had your first NewFront presentation as Crackle Connex last week or maybe it was a couple of weeks ago. You highlighted it earlier, but just wanted to see, if there was any other important takeaways, any feedback that you've heard from marketers since that presentation? And then I'll just ask you my follow-up now. So, you've talked about Redbox getting back to about one-third of 2019 levels. It looks like by the numbers we track that theaters are already at least on par or well over 2019 levels. So, just curious if you look at the relationship between new releases and box office volumes and how frequently customers are utilizing your kiosks, would that put you on the right path to achieve those targets?
William Rouhana: Okay. Let me see if I can do one -- the first one first. The NewFronts were great and I really do encourage anybody who has an interest in our company to take a look at the video that we've got posted on our website in the next couple of days. We've got -- we had a lot of very impressive stuff that we rolled out there. A lot of it was programming related but also a lot of it was ad tech related. A lot of ad tech, a lot of new ad tech that was really exciting for people and encourage people. And by that I mean advertisers to do business with us. The other thing that was – and so that was one takeaway Jason that came from the NewFronts. There was a real sense that, we were doing some innovative stuff in the ad tech side, especially with the shopping stuff, and also some of the contextual understanding of the impact of programming on advertising's impact on viewers. There's a lot of stuff that was pioneered by a guy named Bill Harvey, a long time ago, a good friend of mine, where we talked about the importance of content on the way in which people absorb advertising. Certain types of content make people much more receptive to certain types of advertising at least that's what's been found. And contextual advertising is becoming a bigger and bigger part of today's – important to advertisers today. We're on that in a really serious way. And that was one thing that came out of the NewFronts. The other thing that came out of NewFronts was the quality of our programming, the diversity of our networks, people's excitement about having a place where they could go to buy from a whole bunch of diversified AVODs in one shot. In other words, our Ad Rep business or I guess as we call it now Crackle Connex that people liked. They like the idea that they could get a variety of different networks in one spot. And that business can – that just continues to grow as a business and an activity. And I love it because it's cash flow. It's all cash flow. It's all contribution margin. There's no incremental cost to run that business but there's incremental benefit both for us and our Ad Rep partners because selling volume generates higher CPMs, bigger fill rates. It's better for everybody. So that was the good, I would say that's the other takeaway from the NewFronts. In a few weeks to a couple of months, we'll start getting commitments from people. We'll see how that goes. And of course, as we get them we'll let you know what we're seeing. That's the NewFront. The kiosks. I think – I kind of go back to what I said in my remarks. We are going to have an incredible array of movies literally starting tomorrow. Ant-Man and the Wasp, Creed III, Shazam! Fury of the Gods, Dungeons & Dragons, 80 for Brady, 65, Renfield, Super Mario Bros., John Wick: Chapter 4, Avatar, Evil Dead, Scream VI, Are You There God? It's Me, Margaret. This is what we said we wanted. This is what we've gotten. This is where we are. $2.5 billion of combined box office through July. And August is going to be just as big. It's going to be just as big as the other months. The movies are here. We believe people will rent them because they've been renting them on TVOD. One of the interesting things we've seen is the jump in TVOD revenue, as Jason said in his remarks, seems to be sort of an early indication of the success of kiosks. We saw this in March, where we had a big jump in TVOD revenue and then a big jump in rentals. If this follows suit now with all these movies, this will end up being exactly what we hoped it would be. So I understand Jason that the movie theaters are now back to where they were in 2019 or closer to it. And that our 30% guests versus 2019 seems very conservative. But that's all we need, in order to make this very successful. So that's what we're targeting.
Jason Kreyer: Thank you, Bill. Appreciate it.
Operator: Thank you. One moment for our next question please. And our next question comes from the line of Eric Wold with B. Riley Securities. Your line is now open.
Eric Wold: Thank you. Good afternoon, Bill. A couple of more follow-up questions on Redbox, as you've seen the number of big theatrical titles come back to the kiosk and kind of the cadence of releases get closer to normal, maybe talk about what other trends you're seeing of rental behavior. Are you seeing the basket sizes increase? Are consumers also renting some of the, older library titles along with new releases that presumably have better margins? And then, I know in the past, during loss in releases kind of, marketing tend to shift to be more promotional and discounts and offers to get in back to kiosks. Are you able now to kind of pull that lever back and really kind of promote the titles as opposed to maybe hurt margins discounting the rentals?
William Rouhana: Okay. That's a lot of things, Eric. I'll do my best. I don't think we yet have enough of a clear pattern to be able to answer the first part of your question, about whether or not people are buying new titles and old titles. I've got a feeling that, with all these new titles that are about to hit the boxes, it's going to be hard for people to take new titles and old titles, because there are so many new titles. But for the moment, we don't really see a pattern. But we haven't had this kind of cadence of big movies. We had a little bit of life in March. You saw what happened things jumped 43% over February, April about the same as March. What I hope to see now in the second half of May is this big jump from this pacing of big titles. So I think maybe you're just like a month ahead of where I can really answer the question for you. I guess, there's something else in there, so I'll give you another chance to finish your thought, because I've forgotten the second half of your question.
Eric Wold: It was just on promotions, and if you've been able to kind of pull back…
William Rouhana: Oh…
Eric Wold: … you've -- kind of discounts.
William Rouhana: So I'm up two minds on this, Eric. I understand your point. And we do have -- we've done some interesting new promotions, that I think have turned out to be pretty profitable. One has been a free night when you return to get somebody to take another disk, so that they don't leave empty handed and that seems to have worked pretty well. And we've done one other one where you get a second disc for free. But what happens is when people keep them and they pay for them for a couple of nights, and there's been a decent promotion. And in the end, that promotion what appears to be a promotion actually makes us more money, than it cost us. So sometimes promotions appear to be discounts, but actually may not be. In terms of what to do now, I want to see how many people start coming back. I'm going to be looking at session, levels pretty closely. Because if I see, -- if I don't see sessions starting to increase, then I might go the other way, Eric. I might do a day where every disc is free for one day, just to get all your people to go to the kiosks and rent, …
Eric Wold: Right.
William Rouhana: … because, we do need to make sure -- we don't want to miss the opportunity to bring people back. If we just kept people where we are today, and the basket size went up, and the conversion rate went up yeah, we make these numbers. But shouldn't we try to do better, is really the question. So maybe, some kind of cool promotion might be a good way to get people back who have not come back. So I think we're thinking about both approaches. Obviously, we don't want to be giving discounts forever and thereby costing ourselves money. But there are some things that some promotions might actually do for us that make sense. I hope that answers your question.
Operator: Thank you. One moment for our next question. And our next question will come from the line of Brian Kinstlinger with AGP. Your line is open.
Brian Kinstlinger: Great. Thanks so much for taking my question. You made announcements that you're increasing your -- with kiosks one was with Dollar General, the other I think was unnamed. So my first question is can you talk about when you expect each of those moves to largely be complete? And then my follow-up question is you look back in 2018 and 2019 what was the average contribution from a major title during the first six months when it hit your kiosk? And how long generally do rentals stay at elevated levels?
William Rouhana: Okay. You asked about Dollar General and what else? What was the other one?
Brian Kinstlinger: The other one I think was unnamed, because you said you were in the press release. So basically both of those.
William Rouhana: Okay. So 1,000 of the Dollar General kiosks should be in by the end of the year and 500 should go in early next year. So they go in a couple -- they go on 100 and then a couple of hundred a month for a while and then 100, 100, 100. So it's probably 300 in the first half of the year and 700 in the second half, Brian. And the other one I don't have the schedule in front of me, but we can give it to you later. I have no idea what happened in 2018 when a new title came out. So we're going to have to go back and try to talk to somebody who has kept those records for us and see if we can find that for you. I understand the question. I mean what we focused on more is what's happened in the last year when the new titles come out. And there we've seen a threefold increase in rentals in the first couple of weeks for those titles over the -- before those titles were there. So they drive a very significant increase in rentals, very significant. And I'm going to…
Brian Kinstlinger: Maybe a different way to put it and then I'll get back is maybe in the last year, 1.5 years as a new title has been added to your kiosks what has been the average contribution in that say first couple of months?
William Rouhana: I don't really know how to answer that either. What we've done is we've seen the overall impact. If you mean the overall impact as compared -- are you talking about individual title or overall impact, Brian? What are you trying to…?
Brian Kinstlinger: Individual titles. I mean, you're adding 48 new titles, of which you mentioned how many are majors. I don't have the exact numbers. So does a new title add $10 million in rentals during the first month or two? Does it add significantly less? Obviously I have no idea so my numbers may be way off.
William Rouhana: No. It's not that kind of number. It's lower than that. I'll need to -- we're going to have to go look in order to give you an accurate answer. I don't have that information quite that way. What I have seen is the increase in overall performance has been very dramatic. And I feel like that's probably the more important thing as compared to the individual titles. Although, no I think that when you start to have the kind of cadence that we're about to have, that you're going to have kind of a buildup of rental activity that compounds rather than just goes title by title, because when people come back, if there's something they want to rent they will rent it. Whereas up until now, they've come back and there's been nothing to rent that they really wanted that they recognized. Now when you have -- you take a look at something like this, where you're going to have Ant-Man and Creed and Shazam and Dungeons & Dragons all in the boxes, all at the same time more or less for the first time. And people come and rent one, and they come back and they say oh, I wanted to see this other one too. They'll rent that, whereas before there was no other one they wanted to see. And so, I think it's really more of a compounding effect from having a good group of titles in the box. We have a slide in our presentation deck. I can't remember, what the -- it's a picture with all of the covers of the DVDs. That slide to me, is the visual representation of what is about to happen, where you're going to come to our kiosk and instead of seeing one, two or three covers that you recognize, you're going to see 30 that you recognize or that you wanted to see. It's 11. Slide number 11. I suggest everybody look at it, because if you can imagine going to a rental kiosk, with that screen, as the opening screen compared to what there has been for the last year, which is one, two or three movies that you would have recognized and then 25 or 26 that you never heard of, it's a completely different experience for the person coming to rent. So... 
Brian Kinstlinger: Thanks, Will.
A – William Rouhana: Thanks, Brian
Operator: Thank you. One moment for our next question, please. Thank you. And our next question comes from Dan Kurnos with the Benchmark Company. Your line is open. 
Dan Kurnos: Thanks. Good evening. So, we'll take them one at a time, to keep it simple.
A – William Rouhana: Thank you.
Dan Kurnos: ACS certification has been pretty involved lately. It's a nice new add-on, in the release access to the Amazon DSP, which it seems like they're opening. Kind of interesting what's going on, in sort of the broader DSP SSD market right now, but kind of your thoughts on sort of either the consolidation on both of those sides of the equation, what it means for demand sources for you or incremental opportunities to be sort of a kind of premier partner, with the right demand providers? 
A – William Rouhana: Yes. So, this comes back I think Dan, to the never-ending question of programmatic advertising versus direct sales, one way or the other. What keeps us -- what I think, keeps us interesting to the -- what you call demand sources, is the fact that we don't really need them. And now, that we're consolidating so many AVODs in our little network, I don't know how else to describe it in Crackle Connex, we become a more and more important potential customer for them. And we're seeing that, manifest itself in a couple of different ways. But I probably, I am not going to be able -- I probably shouldn't go into it because, it's stuff that is kind of -- I think it's confidential stuff. We should keep it confidential. But I will say this, our relationship with those parties, are getting stronger and it makes sense because we've got 22 partners now, who are buying through us. And a lot of them are buying programmatically as well as direct. So what's your next question, Dan?
Dan Kurnos: I guess, in general, Bill, just your thoughts on the impact of the writer strike? Fewer green lit programs, it's kind of an interesting dynamic because sort of fewer major titles are being ordered as all of the -- we've talked about this what 100 times Bill, with the streaming losses? But the flip side is that there's really not been a flow-through to legacy libraries because they're having to monetize them more frequently so the lower I wouldn't call it lower end but I guess the legacy stuff is actually going for less per episode than the premium stuff is going for more per episode. So is that impacting you? And are they trying to do anything with the economics to try to save their own hides at this point? 
William Rouhana: What's the day? Which day are you talking about Dan because there's a lot of days... 
Dan Kurnos: Take a streamer content provider that's losing a lot of money Bill. 
William Rouhana: Yeah. So yes they are. They are trying to do things. I mean it's manifested itself in a bunch of different ways Dan. So a number of these guys have gotten aggressive in the FAST business setting up their own FAST networks. And that actually is -- I'm glad you asked me that question, because I wanted to focus on the fact that we announced a pretty important deal this morning with AMC to bring some of the most important FAST channels that are out there to our FAST service including The Walking Dead, which a lot of you probably know is a pretty popular show and it's now available for free on our Redbox Live TV service along with Portlandia and some others. But this is a good example of the sort of taking high-quality content and using it in a variety of different ways to create money. And we benefit from that in the FAST business. And sometimes we're the victim of it in the VOD business Dan in the AVOD business where they come at us with looking for bigger amounts and we just don't pay for it. But I feel a little bit protected there because of the size of our library and the fact that with 65,000 assets a guy who runs content for us Phil Oppenheim is pretty talented, can curate that very large library and keep things feeling fresh and looking good and keeping it topical like we do as I think we just did some stuff on the King used to say the Queen but now the King, King Charles. And other things that are timely but also given the size of our library allow us to generate some real money. So, that kind of cuts both ways. We're a little protected by the size of our library. We're a little disappointed with some of the asks that some of the studios have had. I think it's going to be interesting to see what Disney does now that, they're really pulling stuff down off of Disney+. And if they're going to start making that available in AVOD and FAST that would be good stuff to get our arms around. So we'd certainly try to figure out how we could participate in that. Water has really started at all as I think everybody knows by taking their library and saying we're going to make money which of course is a very smart idea in a business. And I see Disney following pretty closely. So there's a lot of cross stuff that's going on there. 
Dan Kurnos: Nothing like being applauded Bill for making $50 million in streaming and losing $1 billion in legacy. But that's a conversation for another time. Thanks for the color. Appreciate it and a decent start to the year.
William Rouhana: Thanks, Dan.
Operator: Thank you. One moment for our next question. And our next question will come from the line of Mike Grondahl with Northland Securities. Your line is now open. 
Michael Pochucha: This is Michael Pochucha on for Mike Grondahl. Thanks for taking questions. Maybe first just on the new licensing deal announced this afternoon. Is there anything to follow up there that's different from other deals and structure or any user base geographies et cetera? 
William Rouhana: So yes that's -- I'm glad you asked that question. I'm actually pretty excited about the relationship with TaTaTu. For those of you who don't know who TaTaTu is, they're a very fast-growing, highly valued, well-respected, social media -- AVOD/social media company out of Europe which is rapidly expanding around the world. They needed content and they came to us and we made a deal for them to rent partial -- some limited use in our library for money over time. But I think the more important thing is we really think highly of their service and I hope that we're going to be able to -- I'm thinking we're going to be able to incorporate what they do into what we do. And the reason that's exciting to me is if you look at the way Disney and others are charging more and providing less this TaTaTu approaches rewards people for engaging with content. It gives them a way to earn coins and use less coins to obtain items at a discount and some things for free. It's really the flip of charging more and giving less. It's charging less and actually rewarding people for being loyal viewers of your network. And I'm thinking we will end up trying very hard to be the first and maybe only AVOD that actually is able to use their service in this country. And that's really what I'm hoping for in that relationship. And hopefully, we'll get back to you on that in the next few days. But it's kind of a normal licensing deal other than that – other than the fact that it's really will follow them all around the world and they'll be a way that we can expand internationally without having to invest in the kind of money that we would otherwise have to invest if we were doing it on our own. So it gives us a gives us sort of a network to ride around the world, which we're excited about.
Mike Grondah: Got it. That's helpful. And then maybe just on the internal Ad Rep sales team, general thoughts there around capacity. Is that kind of sweet spot to grow this year? 
William Rouhana: When you say capacity I mean the ability to continue to handle more of these AVODs or something different? 
Mike Grondah: Yes just kind of sales team capacity there. 
William Rouhana: Yes. Look, the sales team – the interesting thing about selling ads is there's not really that many places you sell them when you get right down to it. There are a handful of really big agencies that really make a difference. And our people call on various agencies. So if they have more to sell, it's not like they call on a different party. They call on the same party but they have more to sell. So their ability to sell is only limited really by what they have to sell not by their time. So we could add many, many more AVODs to our world, represent their ads and go to the same buyers and just sell larger amounts of advertising which of course is our goal. And that's really what's happened if you look at our business over the last couple of years, we've added more and more ad revenue in part because we've had more and more ads to sell and we've had that both because our owned and operated networks were growing. We were adding the FAST networks and we had additional inventory from our Ad Rep partners. And the combination of those three things leads to greater revenue and greater profitability in the AVOD business. So I don't think we have much of a capacity issue at all. It feels to me like it'd be quite easy for this group of people to sell a lot more. They're really good at what they do. And they're led by Darren Olive and he reports to Philippe Guelton, who is the Chief Revenue Officer. And those are extraordinary executives who really do a wonderful job. So I think there's plenty more to come.
Mike Grondah: Thanks.
William Rouhana: Well, I've got three more minutes. So do we have another question? 
Operator: No more questions. Thank you for all of your questions. This concludes today's conference call. Thank you for participating. You may now disconnect. Everyone have a wonderful day.